Operator: Thank you for standing by. This is the conference operator. Welcome to the K92 Mining Third Quarter 2021 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to David Medilek, Vice President of Business Development and Investor Relations. Please go ahead, sir.
David Medilek: Thank you, operator, and thanks to everyone for attending K92 Mining’s third quarter 2021 conference call. We hope you and your families are doing well. In addition to myself, we have on the line John Lewins, Chief Executive Officer and Director, and Justin Blanchet, Chief Financial Officer. I would also like to remind everyone that after the remarks from management, the call will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes and the risk disclosure in our MD&A and slide 2 of the webcast presentation. Also, please bear in mind that all dollar amounts mentioned in the conference call are in the United State dollars unless otherwise noted. Now, I'll turn it over to John to provide you with an overview.
John Lewins: Thank you, David, and welcome, everyone. So, the third quarter saw Kainantu Gold mine take a number of measure steps forward. These included achieving Stage 2 Expansion run-rate throughput in September, reporting extensive high-grade mineralization along the second sublevel of Judd, expanding Judd with more high-grade drill results, delivering some of the highest grade reported intersections at Kora exceeding budget on the twin incline development meters, deeper drilling progressing at Blue Lake, and then soon after the quarter ended, announcing Board approval for the Stage 2 Expansion, which increases the existing plants throughput and mine production a further 25% to 500,000 tons per annum for an estimated cost of just -- or CapEx of $2.5 million. On the safety front, the third quarter, we're pleased to report that there were zero lost time injuries as K92 continues to operate with one of the best safety records in the Australasia region, something which we've done since the start of operations. We believe that we are relentless in our focus in occupational health and safety, and continuously seeking to improve our safety systems. I'm pleased to report that K92 released its 2020 sustainability report. For the report, we completed materiality assessment, listening to our various internal and external stakeholders to better appreciate what matters to them. This report incorporates their feedback and more importantly, will influence our efforts going forward. The report has also upgraded our disclosure, reporting to SASB Metals and Mining Standard. For the 2021 report, we're planning to have a major focus on carbon emissions. Our greenhouse gas emission audit is currently underway. And this will enhance our ESG reporting, our understanding of areas of improvement and provide important information for developing corporate mission, goals and strategies. I think before moving to the next slide, I'd like to say that we're extremely proud of the positive impact that the operation has had on our communities. And we encourage you to read the report, which can be found on our website in the Responsible Mining section. So, during the quarter, we produced 24,122 gold equivalent ounces, with the operation delivering a record mill throughput of 87,621 tonnes processed at a head grade of 9.2 grams per tonne gold equivalent. Compared to second quarter 2020 mill throughput increased 35%. Gold grades once again delivered a positive reconciliation versus the resource model and partially offset below budget mine grades, which were due to the impact of COVID-19 and PNG, which we will discuss further in the presentation. A major positive for the quarter was achieving Stage 2 Expansion run rate throughput in the month of September. And in September, for 20 days, we actually processed more than 1,100 tonnes per day with a single day record of 1,408 tonnes processed on September 22nd. While delivering a strong throughput, the mill also produced a notably finer grind than is required, highlighting the potential for further throughput upside. We're pleased to report that in October, a new daily record was then set of 1,537 tonnes processed on October the 24th. In terms of the key operation quarterly physicals, record material movements were achieved at both the process plant and the mine, increasing by 16% and 26%, respectively. Development increased over 50% from the previous quarter. Despite record material movements achieved during the quarter, COVID-19 was certainly a major factor. In the first half of 2021, Papua New Guinea has experienced record levels of COVID-19 cases, resulting for us in significant short staffing due to COVID related absenteeism, in addition to requiring an increase in the quarantine control measures, which we apply. In addition, from mid-March through to mid-May, expatriate travel was suspended between Australia and Papua New Guinea. And this obviously had a notable impact on our underground development the first half of 2021, as shown in the middle chart, with delayed access to higher grade stoping than flowing through Q3 for Kora. While these challenges have been significantly addressed via a 50% improvement in development meters in the third quarter versus the second quarter, increasing access to stoping areas at Kora, plus mining ramping up at the new major front at Judd, we expect the fourth quarter to be the strongest quarter of the year. So, the impact of COVID without question has been significantly greater than we expected when we reported our guidance at the beginning of the year. We responded to COVID this year with even stronger mitigation measures driven by extensive quarantining and testing, which directly increased cash costs by between $60 and $80 an ounce and all-in sustaining costs by between $70 and $90 an ounce. The impact of short staffing has impacted production by an estimated 25,000 to 30,000 ounces in 2021. COVID-19 is still a factor in the fourth quarter, and the country is going through a record surge due to the Delta variant, since the second half of September. The mine has continuously operated and our COVID-19 mitigation systems on site are working. As a result of these impacts during the year, we are updating our operational guidance to 96,000 to 102,000 ounces gold equivalent production at a cash cost of between $670 and $720 an ounce and an all-in sustaining cost between $920 and $970 an ounce; growth capital, $20 million to $25 million and exploration expenditure of $10 million to $13 million. In terms of investment bank research and analysts’ average estimates, the updated guidance is in line for production and cash costs, and K92 all-in sustaining cost guidance is moderately better than the research consensus average. As noted earlier in the presentation, despite these challenges, 2021 has featured many major operational exploration accomplishments, and we also see several positive developments for 2022. First, parts of Australia have already opened up for quarantine-free expatriate travel with our workforce from New South Wales and Victoria no longer required to go through quarantine. Importantly, this means that many of our specialist Australian contractors is now available to travel the site, better supporting the operation and the near-term commencing work on several highly accretive projects such as commissioning the Stage 2 gravity circuit. The COVID-19 vaccination rollout on-site is progressing with some 55% of our workforce having received at least one dose. As COVID-19 cases improve in Papua New Guinea and our vaccination rates increase, we plan to progressively relax our quarantine and mitigation measures. In Q4, mine operations will receive a major short and long-term boost from Judd stoping coming on line. The process plant will be bigger in 2022 with the Stage 2A commissioning planned for third quarter. In exploration, our focus is shifting from infill drilling at Kora to resource growth initiatives at Kora South, Judd, Blue Lake and eventually Kora Deeps as we advance the twin incline. I will now turn over to our Chief Financial Officer, Justin Blanchet to discuss the financial results for the third quarter.
Justin Blanchet : Thank you, John, and hello, everyone. During the third quarter, we had revenue of $35.3 million, which was comparable to 2020. We sold 21,675 gold ounces during the quarter, compared to 19,625 (sic) [19,265] in 2020. However, had a lower realized selling price of $1,707, compared to $1,815 per ounce in 2020. As of September 30, 2021, there are 4,469 ounces of gold in concentrate inventories, a decrease of 986 gold ounces, when compared to June 30, due to timing of sales. The Company recorded a loss on receivables at fair value charged against revenue of $3.5 million, which was partially attributable to gold prices, decreasing during the third quarter and subsequently in October. In the third quarter cost of sales were $20.1 million compared to $15.9 million in 2020. The higher costs were primarily due to increased operational activity as illustrated by the significant increase in tonnes mined and processed, and when broken down on a per tonne basis, are lower than 2020, despite the Company incurring costs related to the COVID-19 pandemic, including additional pay for employees completing longer rosters at site, additional costs related to the movement of personnel and supplies, quarantine costs, and additional safety and medical-related costs. Quarterly cash flows from operating activities before changes in working capital was $12.6 million, compared to $14.8 million in Q3 2020. As of September 30, 2021, we had $54.6 million in cash and cash equivalents while spending $7.3 million in expansion capital for the quarter and having our strongest working capital balance to date of $80.6 million. The Company fully repaid the outstanding loan from Trafigura earlier in the year, leaving the Company with no debt. As John mentioned, for the quarter the Kainantu Gold operations produced 21,908 ounces of gold, 802,545 pounds of copper, and 19,736 ounces of silver, or 24,122 ounces of gold equivalent. We sold 21,675 ounces of gold, 868,175 pounds of copper, and 20,444 ounces of silver, or 24,057 ounces gold equivalent. We incurred a cash cost of $596 per ounce and an all-in sustaining cost of $752 per ounce, which was significantly lower than our realized gold selling price of $1,707 per ounce. Our Q3 2021 cash cost per ounce decreased to $596 versus $700 in 2020. The decrease in cash costs was partially due to the successful ramp-up of the 400K expansion, allowing the Company to achieve better economies of scale, but offset by costs related to the COVID-19 pandemic. It is important to note that our -- after commissioning the Stage 2 plant expansion in late third quarter, we've seen a significant compression in our total unit cost per tonne processed. We continue to see downward pressure on costs via economies of scale as operations ramp up. I will now turn the call back to John to continue with the rest of the presentation.
John Lewins: Thank you, Justin. For the exploration gold section of the call will begin with the Stage 2A Expansion. As noted earlier in the presentation, this was approved by the Board of Directors in early October and increases throughput by 25%. The planned capital is very low, estimated to be $2.5 million, with the Stage 3 sustaining capital for development and mobile equipment for the underground being brought forward. As I noted, capital for Stage 2A plant expansion is lower, and that's really due to no additional milling capacity being required, with only a small number of ancillary plant items needing to be installed. First of all, the filter press is already installed and being commissioned. Second is the expansion of the crushing plant, and that's already designed to accommodate the additional TC-1000 that we plan to install and simply requires some refurbishment, the steel work which is currently underway, the installation scheduled for the first quarter 2022. The only other major item requirement is an additional two flotation cells which test work has shown will increase our metallurgical recoveries. There will also be some minor upgrades of selected pipe work and pumps in the existing circuit. The Stage 2A Expansion is expected to meaningfully increase our free cash flow generation and strengthen our ability to self fund a potentially larger Stage 3 Expansion. Other factors, such as gold price being substantially higher than the $1,500 an ounce we used in the economic study will also improve our ability to self fund. Looking at the twin incline, development was 16% above budget for the quarter, and the furthest incline is advanced to approximately 680 meters by the end of September. As twin inclines advance towards Kora, we plan to begin utilizing them as a drill platform to target Kora Deeps and in fact, Judd Deeps as well. On the exploration front, during the quarter, drilling was underway at Kora, Kora South, Judd and also the Blue Lake porphyry. At Kora, our latest drill results feature some of the highest grade holes drilled to-date from both, surface and underground. The hit rate continues to be very strong with approximately 30% of holes at both K1 and K2 veins, exceeding 10 grams per tonne to-date. We expect to provide a new drilling update on Kora in the near-term. At Judd, we reported drilling results from 17 holes at the end of August, extending the J1 vein underground, approximately 650 meters along strike, while delivering a solid thickness and hit rate of 35% of holes exceeding 10 grams per tonne gold equivalent and 29% of holes exceeding 20 grams per tonne gold equivalent. Also on Judd, development has made considerable progress along the second sub level at 1265. Latest results reported near the end of October extended development by 211 meters with an average of 3.9 meters thickness at 21.7 grams per tonne gold equivalent reported. That level has now been reported along 294 meters of development, averaging 3.8 meters thickness at 20.3 grams per tonne gold equivalent. Judd is still very much under explored and has shown similar geology to that which we see at Kora with solid grades, thickness and a max strike length surface of 2.5 kilometers. The focus today has been on the J1 vein, but there are at least four known Judd veins to the site’s shallow artisanal mining and drilling near surface provide some high grade vectors. So, the majority of our underground drill rigs are actually now drilled in Judd. The leverage in the existing drill cuddy infrastructure, which was designed for Kora, but now that provides rapid efficient exploration of the Judd system, allowing us to complete significant step-out drilling. The commencement of production stoping at Judd represents an entirely new mining front and that's expected to begin shortly with long-hole doing currently underway. On Kora site, I think we're particularly excited to have commenced step-out drilling from surface. Drilling from surface will enable greater step-outs to the site than from underground obviously, as we advance towards A1 Headwater porphyry, which is located about a kilometer the site of existing Kora resource. We believe that that A1 Headwater is the major heat source for Kora, Judd, and a large portion of the nearby vein field. The exploration program at Kora site also intends to target Judd site, which runs sub parallel. Lastly, we continue to advance our Phase 2 drill program at the copper, gold Blue Lake porphyry target. Drilling during the quarter has focused on deeper drilling targets, looking for that potassic core, as well as the southwestern extension. Core logging and assay backlog at Kora and Judd has now very much been caught up. And so, we're now in a position to focus on getting through the backlog of drilling at Blue Lake. We plan to provide an update on this in the near-term. So, in conclusion, the vein field and porphyry exploration is very exciting with significant large system near-mine potential. And I think it's important to highlight that approximately 20% of the vein field strike has been drilled to-date, with the majority of what has been drilled remaining open at depth. With infill drilling at Kora complete, we’re at, what we would call a major inflection point, the vast majority of our drilling will now focus on resource growth. With that, operator, I'd like to commence the Q&A session.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Ralph Profiti from Eight Capital. Please go ahead.
Ralph Profiti: Good day, everyone. John, two questions from me, please, if I can. Firstly is on maybe digging a little bit deeper into the grind size at the plant, and just wondering if you can maybe quantify the impact? And are there any plants that perhaps coursing it up and back to design capacity? And under what conditions would you think about doing that?
John Lewins: Kora, we need a grind size of about 100, 105 microns. So, we still got quite a bit of spare capacity in the mill. And that in part, I would say is that the bond work index is obviously lower than has been allowed. And that's really the main driver that allows us to look at this significant expansion of 25% throughput. So, the 2A is a direct response to the fact that we are actually getting a finer grind than we need to optimize our recoveries. And our estimate at this point in time is that we can get an extra 25% plus. And as was mentioned with ore [ph] a record is now over 1,500 tonnes in a day, and that was still -- grind size was still better than the 100 micron that we need to target. So, 25% is the number now and then we'll see how things go from that point.
Ralph Profiti: John, I'm looking at the increase in the productivity and development rates on the twin inclines. And just wondering how much of that is productivity related, how much of that is geotechnical conditions?
John Lewins: Okay. The twin incline, we haven't really had any significant geotechnical challenges on the twin incline. We are advancing and doing shotcreting on both declines as we are -- inclines rather, as we advance. So, that is our primary ground support. There are a few cross cutting structures which we pretty much know where they are because we are following the overall line of the existing single incline, although obviously we are actually significantly lower than that. So, A, we’ve drilled ahead; and B, we are following the line of the existing incline. Therefore, we have a good picture of what is ahead of us in terms of geotechnical aspects. And really, the main things are, there are a number of cross cutting structures. We've gone through a couple of them. They have not given us any significant problems, challenges, call it what you will, to-date. So, it's really been about A, we've had our expats back on site, and that has been a major driver for the productivity, remembering that when we are being impacted by some of these issues, we try and target to maintain production in the first instance. So, the first thing that generally will be impacted will be the twin incline development, because obviously that's not critical at this point in time to production.
Operator: [Operator Instructions] Our next question is from Don DeMarco with Bank Financial. Please go ahead.
Don DeMarco: My first question has to do with the record throughput days. I'm seeing 1,400 in September; we knew that, and then 1,537 in October. Can you discuss the underlying factors that drove this throughput, and whether or not you can replicate this over longer periods?
John Lewins: Okay. Yes. Look, I mean, the expansion from 200,000 tonnes per annum to 400,000 tonnes per annum was based on our calculations -- our calculations, our consultant’s calculations and Outokumpu who actually made the mill, of the throughput that we could achieve on Kora material, targeting our 105 micron. And all of our work, all the calculations, everyone independently came up with around 400,000 tonnes per annum was the capacity of the mill that, that obviously based on the bond work index of Kora. So, as I mentioned earlier, what we find is bond work index is a little bit lower, and we're actually achieving -- or able to achieve better throughput. The mill was always the constraining factor when we looked at our expansion, because if you have to put another mill in, that is a major cost, whereas other equipment tends to be more ancillary in nature and therefore lower cost. So, having been able to achieve, as I said, 75 micron [ph] at 1,100, 1,150 tonnes per day, we've then been looking at what can we achieve. And I can certainly tell you that we've achieved over 1,400 tonnes per day on consecutive days. However, the areas that then give you a challenge or one that you're pushing the production by 25%, producing a concentrate production by 25%, there we have -- or had a single pressure filter. And we’d already identified that as being a potential pain point for us, and had already acquired a second pressure filter. And as mentioned in the presentation, that is actually being commissioned as we speak. So, that takes care of a major issue for us, which is producing more concentrate, and you have to be able to obviously, dry it, so that you can ship it. The second issue we have is flotation capacity to consistently treat 1,500 tonnes a day, let's say, we need more flotation capacity. Otherwise, when we get higher grade days, we're going to see a drop-off in recovery. So, hence, we're looking at adding additional capacity to the flotation, where we're looking at adding about over 30% capacity to the float. The third issue that we need to address to be able to consistently get the higher throughput is being able to crush enough tonnes to supply the mill. And as part of the previous expansion, we put in a larger secondary crusher with TC-1000. The original crusher, as it was constructed was actually a three-stage crusher. So, it had a primary, secondary and tertiary. In the refurbishment where we actually increased the capacity of the overall plant from 150,000 to 200,000 tonnes per annum in the first, we converted it to a two-stage crushing, so it's just primary and secondary. But, all of the infrastructure is there, the conveyor et cetera for three stages are in fact, as we're now doing, to put in a second -- a secondary crusher, the TC-1000, so that we're increasing our secondary capacity, we're doubling our secondary crushing capacity. So, that then addresses the issue of providing enough crushed material to get through the mill. Outside of that, there are some pumps and pipes that with some upgrades, but they are generally pretty minor. So, that I think sort of hopefully explains what we need to do to be able to get it consistently, and maintain our recoveries importantly.
Don DeMarco: My next question has to do with the costs. So, I see costs are significantly lower quarter-over-quarter. And of course, you mentioned that you expect some compression and unit processing costs as the ramp-up continues. But yet, I'm looking at the Q for the guidance, and if we hit the midpoint of guidance, that would imply Q4 costs are going to be higher than Q3. So, if you could just help me understand why were Q3 costs lower? And is that what you're kind of expecting, then we should see slightly higher costs in Q4 per further guidance?
John Lewins: Okay. So, in terms of our overall costs, obviously, yearly costs came down as a result of increasing throughput. We do anticipate seeing a bit more of an increase in throughput in this current quarter. When we look at the drivers I think for the costs, it was in part salaries were down, and that was because of difficulty in getting staff to site et cetera, et cetera and some turnover as well. Next quarter, we've got a recruitment campaign planned because we're now looking to step up our production to this Stage 2A. So, that means we need to bring more people on, especially on the on the mining side of things. So, in part, the increase is because we're looking at starting to man up for this 500,000 tonne per annum. And obviously, you've got to lead up to that; you got to do more development, et cetera, et cetera. We have got more [ph] plant arrived in the last quarter, we got more of it due to arrive in the first quarter of next year. And again that helps us with that ramp-up. So, those are the -- I guess, the major things that A, have driven the costs down; and B, that we anticipate will pick up a little bit in the coming quarter.
Don DeMarco: Okay. That makes sense.
John Lewins: I’d also make the other point that what we've also been doing is very much building up inventory. And as I think everyone is aware, the whole supply chain thing is something that we're all very cognizant of, for instance, we have to hold a number of seatainers at site. So, we can ship our concentrate, and we're not sort of held up by lack of seatainers. So, you're also allowing for some of those potential challenges over the next three or six months. I think, we are all expecting that 2022, we'll see an alleviation of some of these challenges. But, at the end of the day, you've got to make sure that you're alive for them.
Don DeMarco: Okay, yes. Well, it's interesting to see the lower costs when the sector is facing these inflationary headwinds. So, thanks for that color. My final question, I heard you mentioned that there's a record surge of the Delta variant in PNG right now. Does the updated guidance adequately address whatever contingency is on production and costs that may result in? As an investor how we be concerned about this?
John Lewins: Well, we certainly believe that it does. We've been relatively successful in getting our people to get vaccinated. There is undoubtedly a lot of vaccine hesitation in Papua New Guinea. We have been obviously actively seeking to get all of our employees vaccinated. We've got support from government to do that who recognize that the resource industry is critical. And so, we have access to vaccinations, et cetera, et cetera. In addition to that, we've actually contributed -- last year, we contributed PGK 1.5 million to central government and the provincial governments where we operate, to assist with COVID related costs. With the surge in Delta, last month, we provided another PGK 1 million, about $300,000 of funding to the Eastern Province, which is the province where we operate in, and that specifically has been used to construct a isolation ward for the major hospital in Goroka. So, we've been looking to contribute towards the challenge that COVID has presented. Certainly, Delta has had far more impact than either of the previous two waves have been in PNG, although it still -- relative to the rest of the world, still appears to be a lower impact than you've seen in countries such as India, for instance and what have you. But undoubtedly, it's a lot more serious than anything we've seen in the other ones. It is, as we know, far more transmittable. And we have seen a week of Delta has been equivalent to almost all the fatalities we saw last year. It does appear to be impacting those again with comorbidities, older people and what have you; elders generally are not seeing it. We believe that the Delta -- this current Delta wave will peak late November or early December. And if you look at the other countries, such as India, where you’ve had Delta go through, you get this massive spike and then very, very rapid drop off, because it is so transmittable, it dramatically increases the number of people that have it, and then it drops off significantly. And that's certainly from our discussions with Australian Health who are assisting in PNG. That is their expectation of what we're going to see in PNG as well. We have improved our COVID mitigation We operate the mine as a bubble. So, if we got anyone coming to site, any PNG national coming to site, whether they come from a kilometer up the road, a village a kilometer up the road or whether they come from Port Moresby, they go into quarantine for a week before coming to the mine. And they’re tested before going into quarantine and then they’re tested before they’re allowed to come onto site, so. And we have a whole lot of protocols in place for deliveries and all those sorts of things. And to-date, that has been reasonably successful for us. We have had occasional COVID on site, but we haven't had anything absolutely major occurring on site. And we do random testing all the time. At one point, we had done more testing on the mine than the whole of the province had done. So, we continue to do those things. We've beefed up our clinic. We've got more capacity for testing, and all of those sorts of things as well. I’m going into a bit of detail, because it's really something that we've heavily focused on. You've got to, obviously. The positives that we're seeing, for instance, the 1st of November, first of our people going back to New South Wales and Victoria, were able to fly back, get into Australia and not quarantine. And over the next couple of months, that will extend to almost all the states. And that will significantly improve life for our expatriates, for instance who’ve been operating on a six-week on and six-week off roster, where the six weeks off includes two weeks hotel quarantine, on return to Australia. So, by the end of the year, that should pretty much be a thing of the past, and that certainly will help us as well.
Operator: Our next question is from Andrew Mikitchook with BMO Capital Markets. Please go ahead.
Andrew Mikitchook: You already partially answered my question with your comments about the ramp up in mining. But maybe, I could actually just kind of frame the level of mining development you have, maybe in terms of weeks, stope development in weeks ahead of schedule, ahead of your current plan. And how you see that expanding over the balance of the year here and into next year as you ramp up to the mining rates required for Stage 2A?
John Lewins: Look, first off, I'd say, in terms of development, I mean, we're behind budget right now. That's the impact of COVID. So, we are behind where we wanted to be at this point of time. And that's obviously impacted our production. One of the reasons that we've actually focused as well on Judd is that that gives us additional flexibility in terms of providing additional areas to mine with very limited development actually required to access those areas, because as you’d be aware, Andrew, I mean, all of that development that we've been doing to open up Kora also opens up Judd and actually allows us to bring on some stopes with less development than we’d had to do if we were bringing in Kora areas vertically up and vertically down further along strike. So, it gives us greater flexibility, and we're obviously -- and you concentrate your mining more in -- area wise. Going forward next year, development generally will be in the region of 650 to 750 meters per month, which are the sort of figures, for instance, we achieved last month. We have got additional equipment coming in as well. So, we're not looking for a massive step up next year from what we have been able to achieve this year. But, we are looking to achieve it more consistently by not having all of the stoppages that we've had to endure, especially this year with two lots of suspension of our COVID people for instance, I mean -- I'm sorry, of our expats being able to fly in and out, which while we only have 5% of our workforces. As expats, they're quite a key aspect of it, especially in things like [indiscernible] and therefore obviously the development. So, I think we are -- at this point in time, we're looking at third to fourth quarter before we get to 500,000 tonnes per annum from underground, commissioning of the plant, third quarter, but underground will take a little bit longer to ramp up. And the reality is that we averaged over a 1,000 tonnes a day from the mine in September. But, the plan had been at the beginning of the year that we would have been 1,100 tonnes in that third quarter already. So, that's a sort of measure, I guess, of how far the impact of COVID has put it in terms of that ramp up of underground.
Andrew Mikitchook: So, kind of you've got about a year's runway here to get up to that level run rate…
John Lewins: Sure. As usual, the mining guys are telling us we'll get there quicker. But, we're putting that into the context of some ongoing impact from COVID et cetera, et cetera. And all of those other things that are coming through such as some delays in delivery of equipment, shipping, et cetera, et cetera.
Operator: Our next question is from Michael Gray with Agentis Capital. Please go ahead.
Michael Gray: It's great to hear you're shifting focus from infill drilling to exploration expansion drilling. First off, you mentioned greater step-outs for Kora south drilling into EL150. What is the scope of the step-outs, just a little bit more color on that?
John Lewins: Okay. So, Kora south, surface exploration, and there is being fairly limited work done to the south of the mining lease, and there's been no drilling down to the south of the mining lease from surface. There is a bit of drilling that's been done from underground. We're looking to take basically 100 meter step-out and so have a series of fence lines approximately every 100 meters. We believe from the information that we have that the Kora and Judd extend up to 1,000 meters outside of the mining lease. And then, of course, you get into the A1 Headwater porphyry, which as you mentioned, we believe is the key source of Kora, Judd and many at the Outokumpu, et cetera, et cetera. So, basically right now, we have one rig operating, the intent is to go to two rigs operating on Kora sites, and that program to continue all of next year. So, that will be that will be the Kora focus and Judd for the matter. So, it's not just Kora, we will also be drilling Judd to the south.
Michael Gray: And for Judd to the south, you mentioned, the artisanal working surely being your vector or proxy. Can you provide any more insights as to the extent of the artisanal workings, whether they're surface underground both?
John Lewins: The artisanal workings certainly have little added into them. Don't go down too far, because the water tables quite high in that area. And the ground is pretty hard as well. So, they're actually quite limited. There is -- just to south a little layer to the south a bit further than we are right now, there was actually a stamp [ph] mill put in the 70s, I think, by an Australian. He came along, he married a local tribe’s person, which made in part of the tribe and therefore he could do this informal artisanal mining, which included putting a stamp mill in. The stamp mill is actually still there, or part of it still there. And, as we understand that, said Australian made his money and retired to the Gold Coast. He left behind the stamp mill, which is now -- you can see it's a stamp mill with most of it’s gone. So, it's looking very old and tired. And he also left behind the wife, and I believe some kids as well. I can't comment on how she is looking.
Michael Gray: Well, that’s great. I appreciate that. Final question. You've disclosed 1,400-meter long hole at Blue Lake in 2Q. And I appreciate you mentioned that there'd be a Blue Lake update coming out soon. But, in this MD&A, you talk about latterly mineralization zoning towards core potassic alteration zone and there being widespread presence of bornite. Are you able to expand on that in relation to that longer hole or we're going to have to wait until you put out the news?
John Lewins: I think, the longest short of it is, you'll have to wait until we put out the news. We are behind -- significantly behind in actually processing core from Blue Lake, because basically, again, impact of COVID. What we did was we kept the underground rigs running focused on drilling Kora, because at this time critical for us in terms of getting resource update for Kora to feed into a feasibility study. So, we actually took the surface exploration geos. We're also hoping into catching up on the backlog. I think at the end of June we had like 50 odd holes from underground that hadn't been processed. And with the cutoff date at the end of October and six rigs still turning out, we had to focus on getting all of that. That has been caught up and all of that's gone in, and our consultant is busy with his Kora update. And the exploration guys are now focused on catching up all of the backlog that we've got at Blue Lake, remembering also that some of our holes -- exploration we're doing on the surface were in Kora and they obviously took priority as well.
Operator: Our next question is from Geordie Mark with Haywood Securities. Please go ahead.
Geordie Mark: A lot of the questions are already asked and answered, but maybe talk a little bit on grade reconciliation and positive SKUs [ph] that's commonly reported on quarters -- to look at where particularly positive grade reconciliation is derived from. Can you look at any of the potential stope characteristics that generate that SKUs? [Ph] And are you able to kind of factor that into the modeling going forward? And does that impact at all recovery characteristics when you're looking through them? Or can you do any modifications -- I guess, configuration to better recover gold, I guess? If you get a lot of SKUs and grade given what we're seeing around recent drilling at Judd, et cetera?
John Lewins: Okay. So, in terms of the modeling, certainly all of the information that we have has gone into the consultant in terms of those reconciliations. And if you look at our first model to the second model, certainly the reconciliations were closer with the second model that we had, the one that we currently use. So, the fact that we were getting a positive reconciliation was taken into account in the modeling and things like top cuts and what have you. We anticipate that again, we'll be -- we'll go into the modeling process. In terms of the source, that remains -- from our perspective, first off, it is primarily in -- we're getting more ounces, the ounces come from grade, rather than from additional tonnes. So, it is that we're getting higher grades than we anticipate, almost every quarter by one I think we've got more ounces than we projected. At the same time, as I say, it hasn't come from tonnage. It does appear to come from grade. What we do have of course is we've got a lot of water in the -- in Kora itself. It is a very wet ore body, high pressure water. So, we think that there's some potential that you're getting some water, although generally our core recovery is actually pretty good. But in some of those hybrid areas, you do get crushed stones and various other things. So, part of it may relate to that. And certainly when you've gone through Judd, you can -- you come up against a phase that's 5 meters at 100 grams per tonne and the next phase 4 meters at 27. So, you do get variability along the strike. We've been doing significant test work as part of the feasibility study on K1, K2 and Judd in terms of flotation work and also gravity. And that work is going into obviously the design that we come up with, for the new plant, the Stage 3 plant. But that work -- the results of that work is also going into what we are looking to do with the existing plant. And hence, as I mentioned earlier, we are increasing our flotation capacity, as we've shown that additional residence time is going to help improve recoveries. Gravity will recover some of the gold. It is variable. K1 has lower gravity gold than K2 and Judd from a test work that we've done to date. We had started commissioning our gravity plant that we installed as part of the Stage 2 expansion. And then, COVID put a pretty much a stop to that. So, we are looking to get that gravity plant commissioned early next year, and that we believe will assist with the recovery. What we've also found from the test work that we've been doing, that test work has been done in -- primarily in labs here is a slight change to the reagents suite that we are using will improve recovery. So, we are looking to bring in some slightly different reagents and to trial those in the plant as well, as those who have indicated that we can get a couple of percentage points, at least, better recovery with a slightly different reagent mix. So, we always viewed doing the metallurgical tests work for the feasibility study. We would also feed into looking to optimize the performance of the existing plant. And that's certainly what we're doing. The other thing is -- one of the reasons that you want that extra float capacity and we also have a flash float as well is that you want to be able to deal with that if you do get a spike or whatever in your grades, you want to be able to deal with it. For instance, in the new plant, we will have real time analysis so that we are -- more quickly get indications of the grade that’s going through the plant to deal with that variability. And the other point of course is -- and it's something that we're trying to do right now, we -- multiple stopes, blending so that to you reduce the likelihood of getting a high spike coming through because you're blending it.
Geordie Mark: Any modifications in sampling or face sampling, the practical approach you’re looking at what stope grades could be [indiscernible] between grade reconciliations and I guess at the field plant and at the mine plant…
John Lewins: We -- that quite frankly is an evolving process. We've looked at a couple of different methods of face sampling. And basically, we've obviously got the drilling -- we've got face sampling on the development levels, so that we have different sources, obviously of our mine grade control, but also looking at how you're taking the face samples, two cuts across the face rather than one cut across the face, so that you are seeing the variability from one being, say, 1 meter above and the other one being 3 meters above the floor. So, that it just tightens up what you get in terms of variability and being able to identify what variability is. But, it's still something that we are very much working on, I guess, is the long and short of it. And certainly, if you look over the last few quarters, overall, the grades, you haven't seen the same variability as we were seeing earlier in the piece. I think, we're getting better, especially from the underground grade control what we call from what we have to produce.
Operator: Our next question is from Sean Ghosal with Stifel. Please go ahead.
Sean Ghosal: So, my question is, we lowered the production guidance for Q4. And my question is why now, and not during the production release in October? Because -- is it because it incorporates the impact of COVID Delta variant, the impact of which was really understood after October?
John Lewins: I think the reality is that we have -- when you look at COVID and you look at the last couple of months in PNG, there's been a very significant increase in the radical that we've seen in PNG, and it has been throughout the country. It's not just in one area. It is throughout the country. Eastern Highlands where we are certainly with one of the epicenters, the border area with Indonesia was the first epicenter, probably because it was coming in primarily through Indonesia. It's -- although the border is closed to support its borders, it's a jungle. So, you can't stop people moving through. And so, I believe that's where it came through. And from there, it's got into the rest of the country. It was always going to come in at some point. I mean, that's just how it is. Certainly, what we've seen is the impact over the last two months within local communities has been quite significant. And we've been looking to try and quantify what that was going to mean for our guidance. And it's a moving feast. Because you are estimating what something is going to do to your operation, taking into account the various mitigation that you’ve put in place, and mitigations that we had in place six months ago, not as strict as they are now because we found that we had to tighten up our mitigation because of Delta and the fact it is more transmittable, et cetera, et cetera. So, you're trying to bring all of that in and give the market the best estimate that you can. Up until quite recently, we certainly had a view that we could get a higher production this year than we're now giving guidance. Because we had anticipated that we would get over the current -- we get over COVID, we had things I think pretty well under control. The country had things pretty well under control. But that flared quite dramatically and we've had to look at what we could do, what we could achieve, and come out with numbers that took all of those things into account. And yes, we potentially could have come out with those figures a few weeks ago. But, we also wanted to present them to our Board and go through with the board on what we were achieving and what we were doing, what we were anticipating in terms of production, how the mitigation was going, and what we saw as the ongoing impact.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to John Lewins for any closing remarks. 
John Lewins : Thank you, operator. Well, firstly, thanks to everyone for attending our conference call today. It's appreciated the opportunity to give this feedback on what we've been doing and to get the questions and understand what are the areas of focus for people. And we use that to hopefully try and come out with more information which addresses the sort of things that the market and analysts want to get from us. This has been a really challenging year, I think, for everyone around the world. And we've had a lot of challenges to deal with in this year. I am really, really quite impressed with what our people on site have been able to achieve in such a challenging environment. And I mean, the reality is that we have been able to expand our throughput, we've been able to ramp up commission and expansion, keep the exploration going, and come out with some great results in this tough environment. I think we are really pleased with what we've seen from our people on site. I think, we're all looking forward to the 2022, where there hopefully will not be as many challenges as we’ve had to face in 2021. All those challenges are going to be more about things that are more to do with mining and less to do with COVID and all of the impacts that that has. That said, we are finding that COVID will be around, that we will have to deal with it, that we will have our mitigation processes in place, so that no matter what, we're able to continue to deliver and to hopefully see ourselves going forward, getting into Stage 3 -- no, Stage 2A first and then Stage 3 and onward and upward. So, I'd like to, again, thank you all for attendance this morning your time, this evening my time. And wish you all the very best. And hopefully quite a number of analysts on the call, we look forward to seeing you next year on site. So, thank you very much.
End of Q&A:
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.